Operator: Thank you for holding, and welcome to Alliant Energy's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Today's conference call is being recorded. I would now like to turn the call over to your host, Susan Gille, Investor Relations Manager at Alliant Energy. Energy.
Susan Gille: Good morning. I would like to thank all of you on the call and the webcast for joining us today. We appreciate your participation. With me here today are Lisa Barton, President and CEO and Robert Durian, Executive Vice President and CFO. Following prepared remarks by Lisa and Robert, we will have time to take questions from the investment community. We issued a news release last night announcing Alliant Energy's second quarter financial results and reaffirmed our 2025 earnings guidance range. This release as well as an earnings presentation will be referenced during today's call and are available on the Investor page of our website at www.alliantenergy.com. This presentation contains references to ongoing earnings per share, which for 2024 is a non-GAAP financial measure. References to ongoing earnings exclude material charges or income that are not normally associated with ongoing operations. The reconciliation between non-GAAP and GAAP measures is provided in the earnings release, which is available on our website. At this point, I will turn the call over to Lisa.
Lisa M. Barton: Thank you, Sue. Good morning, everyone, and thank you for joining us. 2025 is shaping up nicely and positions us well to meet our 2025 operational and earnings objectives for the year. The Alliant Energy Advantage reflects our unwavering commitment to support economic growth in Iowa and Wisconsin by meeting our customers' evolving energy needs. Our bold commitment to accelerate near-term sustainable economic development and growth is already delivering clear benefits for our customers, communities and shareowners, driving momentum that positions us for sustained sector-leading growth. We're not just planning for growth. We're enabling it in real time. We have been clear on our ambitions to drive growth in the communities we have the privilege to serve, and we are beginning to see this materialize in a significant manner. Physical construction has now started in both Iowa and Wisconsin on 3 large-scale data centers. Our progress to date reflects a deliberate focus on creating solutions that benefit both new and existing customers as well as our investors. We have attracted and accelerated the onboarding of projects by securing length through a deliberate mix of new capital investments, market purchases and strategic forward positioning of existing energy resources. Our commitment is clear: to grow at the pace of our customers and communities, ensuring all customers benefit from economic development. Earlier today, QTS Centers, a Blackstone portfolio company, announced a planned $10 billion investment, the largest investment in Cedar Rapids history. Our partnership with the QTS Cedar Rapids data center is a clear demonstration of how we're delivering transformational growth in the communities we serve. Notably, QTS is also seeking to advance a multiphase data center in WPL service territory in the Greater Madison area. With an agreement in principle in place, we are continuing to make progress towards finalizing and executing definitive agreements. QTS has been working proactively with the community through public meetings to discuss their plans and will be seeking town, city and county approvals. As I've said before, our focus is on creating cascading waves of growth and executing with discipline and precision every step of the way. We've also emphasized our commitment to transparency, sharing details on growth opportunities and projects that we believe our investors can count on and with a realistic line of sight into what's ahead. Our focus has been on reporting well-developed, high- confidence projects in contrast to reporting all early-stage projects. On Slides 4 and 5, we provide a line of sight to our updated data center demand. Fueled by the progress we have made, we continue to steadily expand our backlog of prospective customers and are engaged in advanced discussions to convert these opportunities into concrete growth reinforcing the strength and momentum of our long-term pipeline. New loans supported by signed ESAs will be included in our Q3 capital expenditure plan update. Incremental load growth beyond the 2.1 gigawatts already in our plan is expected to be primarily served by new energy resources. Turning to the recently passed budget bill. While it accelerates the phaseout of certain clean energy tax credits, we're encouraged by the provisions that promote customer affordability and strengthen the support for renewable projects already in progress. As documented on Slide 6, under the budget reconciliation law, our current CapEx plan is intact, transferability of renewable tax credits is intact. Our Iowa regulatory construct, which enables us to earn our authorized return while growing to serve the needs of our customers and communities is not impacted, and our customers and communities maintain benefits associated with the projects along with the tax credits. Our congressional delegations played a key role in securing these protections and we remain committed to working collaboratively with them and our industry partners as further treasury guidance materializes. We expect the Treasury's guidance to reflect a pragmatic and constructive approach as it relates to the start of construction guidance. Under current start of construction guidance, we have safe harbored 100% of the energy storage projects in our capital plan, safe harbored 750 megawatts of the 1,200 megawatts of wind in our plan, and we are confident in our ability to safe harbor the remaining 450 megawatts either directly or through a third-party developer. As we have stated before, we have very flexible resource planning processes in both states. This positions us well to navigate if needed, potential changes to the long-standing start of construction guidance and deliver cost-effective energy resources to meet the growing energy needs and time lines our customers expect. We continue to make significant progress on regulatory filings and approvals, which Robert will address in detail. As a result of these efforts, and our strong execution capabilities, we are advancing key strategic capital projects. We completed construction of our first utility scale energy storage project at the Grant County Solar site in Wisconsin. And by the end of the year, we expect to complete construction of an additional 175-megawatt energy storage and our Wisconsin Advanced Gas Path projects for 2 of the 4 units at Neenah and Sheboygan. As we grow alongside our customers, we plan to continue to propose and execute projects that drive efficiencies within our existing fleet as well as adding new energy supply resources that strike the right balance between system reliability, efficiency and customer costs. I could not be more excited about the direction of this company. At Alliant Energy, we're positioning ourselves for scalable, long- term growth, unlocking the potential of our customers, our communities and our investors. We are accomplishing this with a strong aligned team solving the utility industry's Rubik's Cube for reliability, resiliency, affordability and growth while maintaining the strong balance sheet our investors expect from us. Our commitment has been consistent and clear. We deliver win-win-win solutions without compromising one priority for another. That's how we create lasting value across all stakeholders. To the analysts and investors on the call today, thank you for your interest in our great company. When you invest in us, you're choosing a proven track record of consistency backed by industry-leading growth opportunities that drive long-term sustainable value. I will now turn the call over to Robert.
Robert J. Durian: Thank you, Lisa. Good morning, everyone. Yesterday, we announced second quarter 2025 ongoing earnings of $0.68 per share compared to ongoing earnings of $0.57 per share in the second quarter of 2024. The quarter-over-quarter increase in our ongoing earnings was mainly driven by the successful execution of IPL's and WPL's customer-focused capital investment programs, which supported new electric and gas rates that took effect on October 1 and January 1, respectively, and higher electric and gas sales driven by changes in temperatures compared to last year. These positive results were partially offset by higher depreciation and financing expenses related to the capital investments. Temperatures in the second quarter of 2025 resulted in increased electric and gas margins of $0.02 per share. In comparison, the temperatures in the second quarter of 2024 decreased our electric and gas margins by approximately $0.02. Excluding the impacts of temperatures, our retail electric sales were fairly consistent with the second quarter of 2024. Our ability to consistently deliver solid financial results is supported by our efforts to ensure our customers and investors realize the value of our capital investments. Recent achievements by our team to capture such value include safe harbor activities to preserve the qualification of tax credits for future energy storage and renewable projects, monetization of tax credits to reduce financing costs, extending the value of existing energy resources, including generating higher revenues from the recent MISO annual capacity auction and controlling operating expenses. Capturing growth from economic development activities incurring in our United States will also aid in absorbing a portion of our fixed costs, helping mitigate cost for all customers in the future. With a solid first half behind us, we are reaffirming our 2025 earnings guidance range of $3.15 to $3.25 per share, and we are reaffirming our long-term annual earnings growth target of 5% to 7%. Turning to financing. We are successfully executing our 2025 financing plan, which will fund our capital investments and support refinancing $300 million in debt maturities in the second half of the year. In the second quarter, we issued $575 million of convertible senior notes at the parent company and $600 million of senior debentures at IPL. Both debt issuances reflected strong investor interest, resulting in favorable pricing relative to our 2025 plan. The remaining debt financings are included in Slide 10, which include estimated issuances at our 3 registrants. In the second quarter, we launched an ATM program, which in addition to our shareowner direct program, will support our planned new common equity issuances. Through June, we raised approximately $175 million of new common equity, executed on a forward basis under the ATM, which we plan to settle throughout 2026. ATM issuances on a forward basis allow us flexibility in future funding while managing dilution effectively. Finally, Slide 11 includes our 2025 regulatory proceedings that have been recently approved by our state regulators, the filings that are currently pending and filings we plan to initiate later this year. The Wisconsin rate review is progressing according to schedule, and we continue working collaboratively with staff and interveners. The next steps in this proceeding include continued discovery and audit by the commission staff and interveners to support their testimony scheduled to be filed next week, followed by the public hearing in early September and a final decision expected from the PSCW later this year. We have provided the procedural schedule for WPL's rate review on Slide 12. The Iowan, Wisconsin constructive regulatory environments continue to support our customer-focused investment plan. In Wisconsin, we recently received approval from the PSCW for the Energy Dome, which is our long-duration storage project in Columbia County. Our remaining active dockets in Wisconsin include 1 individual customer rate service agreement for the Beaver Dam, Wisconsin data center and 3 dockets for customer-focused investments. In Iowa, we received several approvals from the IUC since our last earnings call, including approval for the individual customer rate service agreement with Google, approval from approximately 100-megawatt new natural gas generating facility near the existing site of the Prairie Creek Generating Station and approval for 150 megawatts of energy storage at the existing site of the retired Lansing Generating Station. We currently have 4 active filings in progress before the IUC, including the individual customer rate service agreement with QTS, requests for approximately 150 megawatts of additional energy storage and an advanced ratemaking filing for up to 1 gigawatt of new wind energy resources. The expected timing of decisions from the state regulators on these pending dockets is provided on Slide 11. We expect to make additional regulatory filings later this year in both Iowa and Wisconsin for renewables and dispatchable resources to enhance reliability, further diversify our energy resources and meet growing customer energy needs. The investment thesis for Alliant Energy is simple, we are a fully integrated utility with industry-leading growth opportunities driven by data centers and enabled by constructive regulation. We have and expect to continue to consistently deliver on customer and investor expectations. We thank you for your continued support and look forward to speaking with many of you in the coming months. At this time, I'll turn the call over to the operator to facilitate the question-and-answer session.
Operator: [Operator Instructions] Your first question is from Julien Dumoulin-Smith from Jefferies.
Julien Patrick Dumoulin-Smith: Very nicely done here, I got to say, yet another quarter. Just with respect to the QTS, I mean, can you elaborate a little bit more about the timeline about formalizing that? I mean, obviously, great announcement here? And then also separately, was this customer in the group, what you call the mature opportunities previously, again, just to kind of understand the bucketing previously and today, but really, just in terms of the timelines from here as far as you're concerned? And then also in terms of what else given the scope of opportunities, you guys have done such a great job in a timely fashion in translating and "maturing" these projects. What else is at the top of the funnel as you guys are seeing it mature here?
Lisa M. Barton: Yes. Great question, Julien, and I think I heard most of your question. But I'm going to I'm going to start at the top in essence talking about the fact that we have been very focused on not focusing on the hype and the pipeline and the all of the possibilities out there, but to truly give our investors a really clear line of sight, so let's break that down. When we talk about mature opportunities, we're talking about ones where we are in active discussions and that we have a high confidence in closing those deals. What is in the blue is the reference that we had to QTS-Madison. That CapEx is, of course, not in the plan. And just to give you a little bit of a feel for the timing because obviously, you have a nondisclosure agreement in place and so forth and just about the relative size, think of that as being maybe a little bit more than half of what's in the blue. That would be QTS-Madison. Now let's switch over to what has been in the plan, which is Cedar Rapids. And this would be for the Cedar Rapids site to give you a little bit of a breakdown in terms of what we expect to see from a load standpoint. So in '26, we expect to see about 200 megawatts. In '27, starting at about 300, going to 1,000. We'd be at a full 1,600 in '28 and the remain coming in, in, say, '29. So I hope that gives you a little bit of a feel. I do want to reference the -- what we talked about in terms of the QTS press release that came out today, feel free to go to their website. There is a quote from Kim Reynolds. This is the largest single investment in the history of Iowa. It's using state-of-the-art data center technology. It's a closed loop water system. We could not be more excited to welcome QTS to their new home in Cedar Rapids. And as you know, Julien, we're focused on trying to bring these opportunities sooner. So we're really focused on capturing this near-term growth.
Julien Patrick Dumoulin-Smith: I mean it's just phenomenal. Let me actually just clarify this. How do you think about crystallizing this into an updated plan? I mean you guys -- it's been so dynamic with you guys. I'm just curious how you guys think about repackaging this in an updated outlook and the timeline for that.
Lisa M. Barton: Yes. So Q3, we'll be updating all of our investors with respect to the progress that we've made on find ESAs and the CapEx associated with that. And just a reminder, we have an incredibly flexible resource plan. So what that resource plan allows us to do is adapt regardless of what happens quite frankly, coming out of the treasury from a guidance standpoint, allows us to grow at the pace of our customers because we can modify that. Remember, we don't have to go in for a litigated resource planning process where we have to wait 18 months, 3 years and see what -- white smoke comes out. So we're feeling very, very well positioned to be able to identify the specific generation that's going to be tied to our growth aspirations here and for those of our customers' opportunities.
Julien Patrick Dumoulin-Smith: Right. And I think what you're saying there is that you flagged this remaining 450 megawatts in your slides here. That's what you're getting at, right? When you think about some degree of contingency and exposure to the safe harbor.
Robert J. Durian: I think that's true, Julien, this is Robert. Yes. If we think about that 450 megawatts, we have line of sight to be able to safe harbor that, but we're still monitoring the treasury guidance to come out later and we'll react to that and best position ourselves to be able to qualify all of those projects. We have line of sight through some of the work that we're doing with developers as well as some of the stuff we're doing with our own self-development. But the beauty of our plan is that we do have the flexibility, as Lisa indicated, to pivoted for some reason, we don't see those opportunities will pivot to another resource because we're still going to need the generation to be able to support all the growth that we see in the future.
Operator: And your next question is from Andrew Weisel from Scotiabank.
Andrew Marc Weisel: Thanks for all the details, and congrats on these big updates. My first question is to elaborate a little bit on those last ones there. The $10 billion is obviously a huge number, and yet the chart is unchanged. I guess my question is, did you already include a lot of that? And I think you were saying it was included in the mature opportunities. But when I look at the number there, it looks like it's about 1 gigawatt ballpark. Is that -- can I interpret that to be an estimate of how big this project can be?
Lisa M. Barton: No. So let's just break this down because we've got 2 QTS data centers here. So the one that is tied to the $10 billion worth of physical investment that they're making in Cedar Rapids, that has been already in our plan in the green. QTS as well as other opportunities that we are continuing to work on where again, we have a high confidence level, and we're already in active negotiations is QTS-Madison and in the dark blue. So we will, as these opportunities in the dark blue mature, we'll update our CapEx plan and has certainly noted in our opening remarks, we really do see on a going-forward basis that there's going to be closer alignment between new load and new generation. Does that help?
Andrew Marc Weisel: Okay. Yes, it does. And then maybe going one step further. Based on the commentary, it sounds like both projects maybe would require new generation and therefore, CapEx? I know you'll give us an update like you typically do with the 3Q around EEI, but maybe you can qualitatively talk about what that might look like, would you maybe need some CCGTs in the plan?
Robert J. Durian: Andrew, if you think about the mature opportunities that we've identified that are in the blue, think of that as roughly about 1.5 gigawatts of potential new load that we characterize as an advanced negotiations at this point in time, including the QTS-Madison project that's reached an agreement in principle. As we finalize those energy supply agreements, then we will build into our capital expenditure plan in the future, the resources that we need to serve those. As Lisa indicated, we reached a point in our resource planning where a lot of the new data center growth is going to have to be served with new generation primarily. And so there's going to be kind of a different relationship between the CapEx and the megawatts associated with that load, but we'll provide updates on that information in the third quarter call in early November as we continue to make progress with the data centers and then finalize the resource plan to be able to support that.
Lisa M. Barton: And as we've mentioned in the past, we have secured a number of swap positions for turbines to prepare us well for investments in gas.
Andrew Marc Weisel: Okay. Very good. One last one. I think you just mentioned a moment ago to the degree that you might potentially be unable to secure to safe harbor the remaining 450, did you say you would pivot to other technologies? Or would it just be a potential affordability question if you were to move forward on renewables or win specifically without getting the tax credits? In other words, would you evaluate the economics? Or would you not pursue wind without the tax credits?
Robert J. Durian: Yes. Think of it as pivoting to other technologies to be able to generate enough generation resources to be able to support the loan. So not kind of whether we're going to do the resource needs. It's kind of what we're going to do as far as the technology.
Lisa M. Barton: And in terms of affordability, that's part of our resource planning, process and analysis. We take a look at what are all the generation technologies that are available for us, what is the relative cost and we basically determine what's the right resource for the respective jurisdiction. We've got a very talented development team. As we've mentioned in the past, we've invested significantly in Q positions, the MISO ERAS that was recently approved by FERC gives us an opportunity to expand potentially some of those Q positions. So we're feeling very positive about our ability to execute.
Operator: And your next question is from Paul Fremont from Ladenburg.
Paul Basch Michael Fremont: Great quarter and great quarter announcement. Just to clarify on QTS, based on your earlier comment that the opportunity there would be 750 megawatts or greater. Is that a fair assessment?
Lisa M. Barton: I think that's fair, for Madison?
Paul Basch Michael Fremont: And then -- yes. And then second question would be, and I think you may have answered this, but I just want to check and make sure. The most likely way that you would supply incremental load would be through gas turbines. Is that fair?
Lisa M. Barton: It will really be a blend of resources, and that's what we'll update you all on in quarter 3. As we've mentioned, that resource planning process that we have allows us to be very adaptive, we'll take into consideration any impacts associated with treasury guidance and so forth, refresh what it is that we're investing in, how much that is and how that aligns with serving the needs of our customers and communities. And the thing that I feel really proud of with this team is because of these advanced Q positions that allows us a great deal of flexibility to adapt in terms of what different resources are. And we have been focused acutely on near-term growth. So being able to see the meters turn here in '26 makes us feel very positive about the future and seeing the actual steel in the air in these facilities is really wonderful for these communities, great property tax growth.
Paul Basch Michael Fremont: Great. And then my last question, I would assume historically, the optimal time to settle would be between testimony, intervener testimony and hearings, so should we look at sort of like the next month as being sort of the optimal time frame to focus on a possible settlement?
Robert J. Durian: Yes, I think that's fair, Paul. We've been working collaboratively with both the PSCW staff as well as the intervenors. They are scheduled to produce their testimony by August 12 next week. And so usually, historically, we've been able to start settlement discussions. And if we were able to reach any settlement discussions, it would likely happen before the hearing date, which is scheduled for September 9 at this point. So think about it over the next month, we'll have more clarity as to whether or not will reach any type of settlement with the interested stakeholders.
Operator: Your next question is from Anthony Crowdell from Mizuho.
Anthony Christopher Crowdell: Congrats on a good quarter. I have one housekeeping question, and maybe one a little deeper thought. Just curious on your financing slide, you talk about the range of equity ratio, I think 40% to 45%, I think I'm on slide -- forget about slide. But you talk about the range of potential equity ratio. What gets you to the lower end or the higher end of that range? Is it valuation? Is it CapEx opportunities? Just curious if you could provide some color on that.
Robert J. Durian: Yes, we do have to have some level of flexibility within that range to make sure we meet all of the credit metrics to be able to maintain our current credit ratings, Anthony. So largely, it will depend upon the strength of our FFO to debt metrics. And so as we see stronger metrics, we can probably go to the lower end of that as we have weaker metrics. We may have to end up at the higher end of that 40% to 45%.
Anthony Christopher Crowdell: Great. And then I think you're the last earnings call -- and I shouldn't jinx myself, I think in the last earnings call of this cycle, we've gone through this cycle, and there's been a lot of updates this sector has probably never been busier. We've seen CapEx opportunities, data center and everything else. When you look at other companies and your pipeline, they all seem very robust, how do you think investors should look at this or judge that every utility has given us a mature opportunities thing, that blue section there. How do we -- how should we think of maybe your mature opportunities versus some of the other companies that help us with -- I don't know if it's valuation or attracting this or coming to fruition?
Lisa M. Barton: Yes. That is a great question, Anthony. And there are so many pipeline projects out there, and these numbers after a while, when you think about it, there can be double counting even within a utility that we would know about, but certainly between utilities. And so we're trying to really avoid that for our investors. So when we talk about mature opportunities, these are very mature. So these are ones where there is active discussion where we as a company feel that we have a very high level of confidence in being able to close these deals. I think the right question for investors to ask of all of us is really what is that threshold? And I would say for us, it's about an 85%, 85% probability that these are going to close.
Operator: [Operator Instructions] Your next question is from Nicholas Campanella from Barclays.
Nicholas Joseph Campanella: Thanks for the update. Hopefully, you can hear me. I was just wondering for the incremental megawatts and the generation that's coming online, just how you're thinking about like the competition for capital in your 5-year plan? And since this is all to kind of serve higher demand, is it all kind of truly incremental to the 5-year plan? Or does it replace any existing opportunities that you have in there?
Robert J. Durian: Great question, Nick. Yes, we've been going through a process of competing capital for quite a while now. And I would say at this point, I think we've scrubbed the numbers well enough that you should think of this as upside or incremental capital to what we have in our current plan. It's not going to displace anything else as we continue to add more load through data center contracts and other economic development activities. Think of that as just incremental generation that we're going to need to be able to serve that load, and that's going to be on top of what we have announced publicly with all of our stated capital plans.
Nicholas Joseph Campanella: And then just taking Anthony's question just a little further just on the financing of an incremental capital. You kind of talked about some of the load could put maybe downward pressure on equity needs. Is that how to think about this next update? Is there a percentage that you're targeting for incremental capital now?
Robert J. Durian: What we tried to signal to investors as you think about incremental CapEx, we would expect to fund roughly 40% to 50% of that with new common equity. So any incremental CapEx in the third quarter, 40% to 50% of that would be increasing our current equity plans.
Operator: Thank you. There are no further questions at this time. Please proceed.
Lisa M. Barton: With no more questions, this concludes our call. A replay will be available on our investor website. Thank you for your continued support of Alliant Energy, and feel free to contact me with any follow-up questions.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect your lines.